Operator: Good afternoon, and welcome to the ValueVision Media Fiscal 2013 First Quarter Conference Call. [Operator Instructions] This call is being recorded for instant replay. I would now like to turn the call over to Teresa Dery, Senior Vice President and General Counsel at ValueVision. You may begin.
Teresa Dery: Thank you, operator, and good afternoon. I'm joined today by Keith Stewart, CEO; Bill McGrath, EVP and CFO; Bob Ayd, President; Carol Steinberg, COO; and other members of the senior management team. Comments on today's conference call may contain certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Such statements may be identified by words such as anticipate, believe, estimate, expect, intend, predict, hope or similar expressions. Listeners are cautioned that these forward-looking statements may involve risks and uncertainties that could significantly affect actual results from those expressed in any such statements. More detailed information about these risks and uncertainties and related cautionary statements is contained in ValueVision's SEC filing. In addition, comments on today's call may refer to adjusted EBITDA, a non-GAAP financial measure. For reconciliation of adjusted EBITDA to our GAAP results and a description of why we use adjusted EBITDA, please refer to our Q1 2013 news release available on the Investor Relations section of our website. All information in this conference call is as of today, and the company undertakes no obligation to update these statements. I will now turn the call over to Keith.
Keith R. Stewart: Thank you, Teresa, and thank you all for joining us on the call today. We remain highly committed to continue improving our financial performance, while at the same time, positioning our company for a long-term sustained growth. During the first quarter, we built upon the momentum created in 2012 and continued to make solid progress across many key areas to drive our business, including posting for the fourth consecutive quarter of positive adjusted EBITDA. I'm pleased with continued improvement in our financial results, as well as our overall operations. The team will share more details and highlights from the first quarter in just a moment. More than ever, I'm energized about where we are today and the opportunities that lie ahead. Over the past few years, there's been continued progress made in broadening the product mix, expanding and optimizing our distribution footprint, lowering our operating costs, elevating our customer experience and building a talented team of employees. Today, our network broadcasts into over 85 million homes. We have an active base of 1.2 million customers. Our retention rates are at an all-time high. Our customers are purchasing more frequently. We are digitally connected to them and they are more engaged than ever than ever across our multi-channel retailing platforms of television, Internet, mobile and social media. Our focus on delivering exceptional customer experience has never been higher. The progress made in these areas has paved the way to make this the right time to take control of our brand. After many months of research and preparation with brand consultants, today, we announced the plans of the transition of ShopNBC to ShopHQ, occurring over the course of the fiscal year. Through this rebranding effort, we will further reinforce our commitment to our customers as a trusted company and a trusted brand. We'll continue to offer new and differentiated products. We'll inform, entertain and educate them. And most importantly, we'll continue to earn their trust and their loyalty. It's a time of positive change at our company, and we're committed to continuing the progress. With that, I'll turn the call over to Bill, who will highlight our Q1 financial performance. Bob will address our sales and merchandising initiatives, Carol will provide an update and progress made through our operations and discuss the launch of the ShopHQ brand in more detail. Bill?
William J. McGrath: Thanks, Keith. First quarter sales increased 11% to $151 million from $137 million in the first quarter of 2012. Sales growth was driven by strong performance in the Home & Consumer Electronics and the Fashion & Accessories categories. Gross profit grew 12% to $57 million versus $51 million in the same quarter last year. Gross margin for Q1 increased slightly to 37.7% from 37.4% in Q1 despite the higher mix of Home & Consumer Electronics, which carry lower gross margins than our other categories. The improvement in gross margin was driven by less markdown activity and fewer shipping promotions during the quarter. Operating expenses in Q1 were $55 million, a 2% decrease from Q1 last year. As a percentage of sales, operating expenses represented 37% of sales compared to 41% in the same quarter last year. Variable expenses as a percentage of sales decreased by 70 basis points to 7.5% in Q1 2013 versus 8.2% in Q1 2012. The improvement reflects favorable transaction costs and lower bad debt expense. Cable and satellite distribution expense declined during the quarter, reflecting lower rates on our renewed distribution agreements that became effective on January 1 of this year. The primary impact is from revised rates on our largest TV distribution agreement. On an annual basis, the rate savings from this distribution agreement is around $15 million. The operating expense benefit of lower distribution cost provides us greater flexibility to invest in the personnel and infrastructure to help grow the business going forward. Our current quarter operating expenses reflect increased salary and recruiting expenses related to new hires, as well as accruals for incentive compensation. Adjusted EBITDA improved to approximately $6 million in Q1 2013 versus a loss of $1 million in the same quarter last year. The improvement reflects higher sales, improved gross margin and lower operating expenses. ValueVision generated net income for the quarter of $1 million or $0.02 a share compared to a net loss of approximately $9 million or $0.18 a share for the same quarter last year. Per share figures are based on 54.7 million diluted shares outstanding in Q1 2013 versus 48.6 million basic shares outstanding in Q1 2012. We also strengthened our balance sheet during the first quarter. Cash, including restricted cash increased to $36 million at the end of Q1 2013 from $29 million at the end of Q4 2012. The change in cash reflects our first quarter adjusted EBITDA results, as well as the seasonal timing of cash receipts from fourth quarter receivables, partially offset by increased investment in inventory. Earlier this month, we completed the expansion of our PNC line of credit to $50 million from $40 million, and we're also able to extend its term to May 2, 2018. The additional $10 million in undrawn availability under the PNC facility improves our liquidity and supports continued investments in the growth of our business. With that, I'll turn the call over to Bob.
G. Robert Ayd: Thanks, Bill. Our performance in Q1 was solid across the board. We achieved double-digit sales growth, broadened the product mix and improved merchandise margins. Top line growth was largely driven by our ongoing effort to broaden our product assortment and strategically reallocate our multichannel resources into other categories that have shown to deliver higher new customer growth and repeat purchase frequency. Through the ongoing expansion of our product mix, we've been expanding key merchandising categories as examples in Beauty, Health & Fitness, we're expanding color cosmetics, tools and hair. In Fashion & Accessories, we're building out footwear and apparel. In Home & Consumer Electronics, we're diversifying into household electrics and rugs, as well as tablets and cameras. We believe each of these categories offer unique appeal that enhances engagement with our growing customer base. Some comments at the category level. We reduced our exposure of Jewelry & Watches in Q1 and this reduction enabled us to strategically invest resources into other categories. In Home & Consumer Electronics, we achieved strong sales growth in Q1 while continuing to broaden the category at lower average selling prices. Consumer Electronics was a primary contributor with a diverse product mix that provided broad customer appeal. We had success across a range of diverse products in the Home category as well. Beauty, Health & Fitness was another significant contributor to Q1 results in an area we have actively expanded to capitalize on its potential for higher repeat customer purchase frequency. Sales performance in our Fashion & Accessories category improved significantly in Q1 versus last year. As I've stated in prior calls, this is a challenging category to grow, yet I'm pleased that our dedicated efforts to broaden our offerings in this area are paying off. Before concluding, I want to underscore how pleased we are with the balanced progress made in Q1 and how far we've come over the last few years. While we remained focus on delivering consistent quarterly results, our top priority continues to be building the business for sustainable long-term growth. To achieve this goal, we'll continue to invest in newer categories that may initially be less productive from a revenue standpoint, but we believe will help drive purchase activity across a broader customer base. Carol?
Carol Steinberg: Thanks, Bob. As I am sure many of you are aware, we made the press announcement earlier today introducing ShopHQ as the new brand for our multi-channel consumer retail business. Beginning today, we start with the transition to ShopHQ, occurring over the course of this fiscal year. Our corporate identity will remain ValueVision Media. Market research and consumer testing supports our decision to rebrand the business, followed by meticulous planning over the timing, nature and execution of this transition. Throughout the process, we have carefully considered the potential implications for our customers, vendors and distribution partners, as well as our ability to operate our business while minimizing any disruptions. With that in mind, we are very excited by the new brand name and creative identity, and we are confident that the transition will be a seamless and enjoyable experience for our customers, our partners and on our operations. Our current licensing agreement with NBC Universal runs through January, 2014 and carried with it, an annual license fee of $4 million. We made the final cash payment of $2.8 million on May 15, 2013, and have no further financial obligations under this agreement. To this end, we will have additional capital to deploy for new initiatives to promote the growth of our business. I speak for all of us at the company when I say that our strategic relationship and trademark license with NBC Universal is an integral and valuable part for ValueVision's history. However, we feel that we have progressed our business and financial performance to the point where owning our own brand is simply the next logical step in our evolution. Market research and consumer testing confirms that the ShopHQ brand provides an empowering foundation for our company and its future. Working from this new platform, we are eager and excited to continue building our business, our customer base and vendor relationships to create long-term brand equity that will support our business. With that, I have a few highlights to share about our Q1 '13 operations and customer productivity. Customer engagement, be it Internet, smartphone and tablet devices, continued to gain traction in the first quarter. Internet net sales penetration increased 30 basis points to 46.2% in Q1 from 45.9% last year, as our customers continue to respond positively to our online and mobile channels. Of note, our mobile sales penetration increased to 23% of Internet net sales in Q1 '13 from 13% in Q1 '12. This demonstrates the strong customer usage of this important new retail channel. An increase in web and mobile orders, along with continued strong performance of our automated phone ordering system, were key factors in lowering transaction costs in Q1 '13 to $2.51 from $2.81 in the first quarter last year. And finally, we are pleased with the continued growth in our customer file. We remain committed to the fundamentals of excellence and everyday execution of our business and to an unwavering focus on the customer experience. Now before going to Q&A, I'd like to remind you that we are presenting at Piper Jaffray's Consumer Conference on Thursday, June 13, in New York, and we hope to see you there. Operator, let's take some questions.
Operator: [Operator Instructions] Your first question comes from the line of Mark Smith with Feltl and Company.
Mark E. Smith - Feltl and Company, Inc., Research Division: Just a couple of quick ones. First, Bill, just for modeling purposes, the $4 million in the NBC agreement, we would just expect that not to recur starting in 2014?
William J. McGrath: That's right, Mark, and thanks for the question. Yes, in -- we will anniversary that $4 million in rate reduction savings beginning January 1, 2014.
Mark E. Smith - Feltl and Company, Inc., Research Division: Perfect. Can you guys give us an update on HD channels in the markets where you're at there. I know it's still a little bit early, but kind of how that's progressing? And also any insight on the returns and what you're seeing in markets where you've had additional channel placement?
William J. McGrath: Yes, Mark. This is Bill. I'll take that. The HD is still early for us. We're pleased with the placement and the revenue activity, but too early to really speak to it as creating a lift. And on the HD particularly, our intention is to be patient with those results. We think it's good to have that presence and that familiarity and we're -- we didn't anticipate material change in our sales position. Any normally -- or any earlier than we would in a second channel placement. So yes, we feel pretty good about that direction. And I'm sorry, Mark, the second part of your question, please?
Mark E. Smith - Feltl and Company, Inc., Research Division: Just additional channels, where you've added additional channels, and kind of how you feel about the return on that.
William J. McGrath: Yes. And we're anniversarying the largest tranche of additional channels that we had a year ago and what we've seen is that we have gotten the material rise on that or discernible rise on that in the 9- to 12-month window, and we've anniversaried those largest tranche that we have initially. We did, however, add about 19 million homes on the second channel effective January 1 relative to that large distribution agreement that we had in place. We have seen a modest uptick in the sales per home in those systems and again, not surprising to us because it takes some period of time before you start garnering those additional exposures. But we have positive expectations for that. But as of the end of the first quarter, nothing material to speak to.
Mark E. Smith - Feltl and Company, Inc., Research Division: Okay. Then last question for me. The return rate did come up just a little bit this quarter. Was that due to mix of products sold or was there anything that we should be looking at on that number?
William J. McGrath: No, Mark. In fact, if you think about the dynamics of our return rate, mix would actually be a little bit of a favorable influence because our mix of Jewelry & Watches were lower than they were in the year ago period. We -- and although that mix is lower, we did see somewhat of a rise in our return rates in watches, which was -- I'll take primarily price point driven, although our, again, our airtime and our volume in that category was a little bit lower, we were selling at somewhat of a higher price point. So no concerns there other than our normal movement with price. And I'd say additionally, we did see a higher mix of the Fashion category as a percentage of our total business. And that tends to carry somewhat of a higher return rate. But no, nothing abnormal in the period.
Operator: Your next question comes from the line of Alex Fuhrman with Piper Jaffray.
Alex J. Fuhrman - Piper Jaffray Companies, Research Division: I would love to talk a little bit more about this new rebranding into ShopHQ, specifically, was very encouraged to hear your prepared remarks that this is going to be a gradual transition over the course of the year. If you could talk a little bit more about, specifically, how you're going to be making this a smooth transition, in terms of showing the logos both at the same time? And really, what we should expect to see one week from now, 3 months from now, 6 months from now? You kind of have to move through that transition and prepare for the complete switchover.
Carol Steinberg: Alex, this is Carol. Thanks for the question. Yes, this is going to be a transition through the remainder of our fiscal year, beginning at 4:00 today -- 4:00 Central Time, and just 10 minutes from now. Our customers will start to see this on our on-air presence and across all of our channels, including the Internet, social channels. We'll get emails. We have a lot of communications planned, not only for our customers, but for all of our business partners and our cable affiliates, so that we can inform everybody as to what we are doing. And really, of most importance, as you mentioned, is really how we do this for the customers. So while we roll these changes out, we start showing the logos -- dual logos in as many places as possible. We've also set up a monitoring system activated just this afternoon with the press release and we capture all customer feedback across all channels. And then what we're going to do is we're going to use this data to modify our plans and make sure that we are communicating in really the clearest, simplest way and ensure that everybody does understand. So this is going to be a continuous process, and we are definitely going to keep our ears and eyes focused on our external partners.
Alex J. Fuhrman - Piper Jaffray Companies, Research Division: Great. That's really helpful. And if you could just kind of maybe give us a sense of what really gives you the confidence to do this today that you maybe weren't seeing a year ago. And is it just -- and is it a function of the response you've had building out a wider range of categories, and this is really just the next step of leveraging that? Or is it maybe more that the newer customers that have been coming in to the platform, through the mobile and tablet devices and things like that are -- have maybe -- just have less of an attachment to the brands? I want to get just more, more color on just the overall thinking behind why now.
Keith R. Stewart: Thank you, Alex. It's Keith. It is the right time. We're seeing it, as Bob had mentioned, in broadening the product mix. Bill had talked a little bit about our distribution footprint. We continue to get better spots and better locations, which will certainly help productivity in the future but also new traffic and new viewers. We really rightsized the business as it relates to the operating costs. Our customer experience is really elevated significantly. So as a result, our retention rates are higher. Bill has talked historically about some of the projects that he has worked on to clean the balance sheet. So it -- for a lot of different reasons and multitude of reasons, this is the right time to do it. We have another 8 months until the NBC license expires. So as Carol alluded, we're going to be slow, methodical, careful and listen to the customer.
Operator: Your next question comes from the line of Greg McKinley with Dougherty.
Gregory J. McKinley - Dougherty & Company LLC, Research Division: I hope we can maybe just dig in to a few metrics on your business, guys. Bob, I'm wondering, can you share with us a little bit maybe some growth rates that you noticed in your business on those key categories you talked about, and then maybe set that up in terms of what you did with airtime, so we can get a sense? It sounded to me like you felt there were some productivity gains to be had by moving airtime away from Jewelry & Watches and other categories. Just any important trends or data points you'd highlight for us there.
G. Robert Ayd: Sure, thank you for the question. First, we had broad increases in productivity across every major merchandising category, and we're very pleased with that. In terms of sales growth, 3 of the 4 major categories increased in revenue and the 1 that didn't, which was Jewelry & Watches, didn't because we took a substantial amount of airtime away from it. But that being said, it still increased in productivity. So we're very, very pleased with the results. So we took assets from Jewelry & Watches, inventory, Internet assets, promotion assets and we sprinkled them into the other areas of the company, which have a higher propensity to generate new names, new customers, and it worked well. So as I reflect back on the quarter, I look at every major business growing in productivity and 3 of the major businesses growing in revenue and we had a broad stable growth, and I'm very pleased.
Gregory J. McKinley - Dougherty & Company LLC, Research Division: Okay. And then just from a modeling standpoint, what line item do we see your license fee expense showing up within distribution and selling, or where does that get recorded?
William J. McGrath: Actually, Greg, it flows through depreciation and amortization. The reason for that is it's a capital license fee that we amortize there. It's roughly $1 million per quarter that would flow through that line.
Gregory J. McKinley - Dougherty & Company LLC, Research Division: Okay. And then Bill, you had talked about variable expenses as a percentage of revenues. I think you said in the prior year quarter, they were 8.2%. I didn't quite catch what you said they were for this quarter, 7-point-something. I wonder if you could repeat that number. And then just -- I want to make sure I understand exactly what expenses are included in that?
William J. McGrath: Sure, Greg. The variable expenses as a percentage of sales were 8.1% prior year, declined to about 7.5% in the current year. What our variable expenses consider is, one, the elements of our transaction cost, and Carol had referenced that. And for us, the transaction cost is the cost to take a customer order, the labor cost, not the freight cost, but the labor cost of processing the customer order through our distribution centers and then any back ends, handling of the customer transaction, whether that's customer service calls or recharge processing, things of that nature. And our decline there reflected a couple of elements. One, it reflected a decrease in our customer contact rates. So we have done a better job of our customer experience, and so there's less of a burden at the back end calls and transaction. And two, the higher volume enabled us to have more efficiencies particularly within our distribution center. So we were able to -- want to leverage that. And then also, there's a small portion of fixed costs that are considered and we amortize those within that. And then finally, the other driver, primary driver within the variable expenses is that we ran a little bit more -- we ran a little bit favorably to our bad debt expense within the quarter. And that's a function somewhat of product mix but also, we just have enhanced credit screening and collection processes.
Gregory J. McKinley - Dougherty & Company LLC, Research Division: Okay. Is credit card fees also in there then?
William J. McGrath: Yes, it is. Absolutely.
Gregory J. McKinley - Dougherty & Company LLC, Research Division: So those are the 3 main buckets, credit card, transaction cost plus bad debt. And then G&A structure, the G&A expense is a little higher than I had modeled. I'm guessing maybe some of it is just headcount or infrastructure built. Maybe part of it's a strong start to the year and maybe earning or qualifying so far for incentive compensation. I wonder if you can just help us out, understanding what caused the year-over-year increase and what you think about your expense on a run-rate basis?
William J. McGrath: Sure, Greg. Thank you for the question on -- there. Yes, you hit the nail on the head. We had a number of new additions to our team that we added between the end of the first quarter last year and the current period. That includes various areas of the business, customer-related and operationally. We also did any recruiting fees that we had related to that staff would be reflected there. And then the other element you made reference to is the accrual for management incentives, and we're -- we have an accrual for that in the current period as we look ahead to our position relative to our performance targets, and we did not have any such accrual in the prior year.
Gregory J. McKinley - Dougherty & Company LLC, Research Division: Okay. And then lastly, I wonder if you guys could just talk bigger picture about -- so Bob mentioned broader strengths in the business. My guess is, as a result, if you feel you have more categories, you can go to a bigger customer base. Hopefully, that means maybe less volatility in the business, more options for you guys as you see changing customer response to what you have on air. How do you think that's up for, I guess, overall predictability or less volatility in your quarterly results in 2013? And then any color you might be willing to offer in terms of cadence of the business throughout the quarter and how things have gone so far in the July quarter?
Keith R. Stewart: Thank you, Greg. It's Keith. I'll start with it, then I'll turn it over to Bob. The real answer is within the customer mix, and we're seeing our overall customer accounts grow. And within that, we're seeing the purchase frequency continue to increase, and so we're seeing that in all different strata and groups across our customer files. That's broad-based growth and that's driven by the product mix and some of the other things that Bob is going to talk about.
G. Robert Ayd: Greg, it's Bob. Yes, clearly, we were able to have all cylinders firing and that to me is a result of broadening the product mix within each major category. And I don't want to get too granular, but we can touch on a couple of them and CE, we've expanded into tablets, cameras, peripherals, battery chargers, home security, et cetera. Our Home businesses now is being driven by household electrics and most currently, air conditioners. Tabletop has come and it's a very productive business now. And we have other emerging categories there in Fashion. Our footwear business has taken off for us. Our intimate apparel business is just starting. We've expanded our apparel business, and I could continue and continue. But within each major category, we knew there was opportunity and now we're capitalizing on it.
Gregory J. McKinley - Dougherty & Company LLC, Research Division: Okay. And then any color you're able or willing to share in terms of -- any fluctuations in the cadence of the business as the quarter progressed or how things are starting for you here in May?
Keith R. Stewart: No, we're really not going to provide any information about Q2. And pertaining to the cadence within the quarter, it really can take it steadily. And when you look at your models in this business, you're bringing a lot of your customers into Q4. Then you have a run rate, and then it clips up again in Q4 again as it pertains to customer accounts.
Operator: You're next question comes from the line of Gunnar Hansen with from Sidoti.
Gunnar Hansen - Sidoti & Company, LLC: Just a couple of quick questions. I guess just regarding to air time, are you guys -- how do you guys kind of view the mix shift now? Is this kind of where it's going to stay going forward? Or are you guys still kind of looking to reallocate some of the Jewelry & Watches into the -- some of the other categories there?
Keith R. Stewart: We're going to -- thank you, Gunnar. It's Keith. We're going to continue to invest in new businesses. We're going to clip away some of the airtime from the older businesses with more mature businesses here in the company. And in addition to the investment businesses that Bob talked about, we'll continue to invest into new businesses and nurture those. And I will offer one caution to everyone. These new businesses have lower productivity because they are new. And it does take an investment in airtime. But as Bob pointed out, the reason why we want to do that is to broaden the strength, a; and b, it brings in a lot more customers.
Gunnar Hansen - Sidoti & Company, LLC: Got you, great. And then I guess just in terms of the CE contribution. I guess, maybe just kind of talk about some of the particular customers there. I mean, is some of the greater customer retention or anything that you can kind of attribute to kind of including some of the Consumer Electronics back into the mix now? I mean, any kind of significant or material changes within the customer mix that you guys have noticed?
Keith R. Stewart: Yes, there is one material thing that we've seen. As we broaden that product mix that Bob referenced, in a lot of those product categories, is we've lowered the average selling price in the different CE categories. We're seeing the purchase activity change with that customer file. So as we get into the lower price tab with some of the accessories that Bob talk about, they're more apt to come back and purchase more frequently. That adds to overall lifetime valuation to the customers. And as we've said before, when you get a customer to purchase 3.6x in a year, we pretty much have them. And we'll continue to go up straight up as time goes. We have time for one more call, operator.
Operator: Your last question comes from the line of Wilson Jaeggli with Southwell.
Wilson S. Jaeggli - Southwell Management, L.P.: Keith, great quarter. Really nice to see the operating leverage here. You obviously have put Bob and Carol in charge. A couple of questions here. The $2 million difference in distribution and selling between this quarter and last quarter, is that a reflection of the lower cable cost?
William J. McGrath: Yes, it is, Wilson, primarily the lower cable cost offset by some salary and other activity.
Wilson S. Jaeggli - Southwell Management, L.P.: Okay. And the net -- I know the gross savings is $15 million. I think the net savings is a little less?
William J. McGrath: Well, referring to the net meeting that you'd have and influence of higher household footprint?
Wilson S. Jaeggli - Southwell Management, L.P.: Yes.
William J. McGrath: Yes, on that particular agreement, yes, that's the case, that we would have -- the net savings is about the $15 million. We'd expect some expansion in the size of that particular agreement, so we'd have a slight offset on volume.
Wilson S. Jaeggli - Southwell Management, L.P.: Okay. Carol, you're going to save us $4 million next year. What is your budgeted cost this year for making the transition in the name?
Carol Steinberg: Actually, we are not going to change the way that we communicate, market or advertise our brands. We still rely very heavily on our television programming. 24/7, we're there for our customers. So we don't feel the need to change anything in the way that we promote ourselves.
Wilson S. Jaeggli - Southwell Management, L.P.: Good. Okay. The -- Bob, when you talk about the growth and productivity in your different segments there, you're talking about gross dollars per minute or per hour?
G. Robert Ayd: Yes, they're dollars per minute.
Wilson S. Jaeggli - Southwell Management, L.P.: Okay. And you mentioned some newer products, at least they're newer to me, can you give us a feel for percent of revenues in this quarter that are new products, ones that you didn't have a year ago or a quarter ago, just a rough estimate? I mean, are they 5% of revs, 10% of revs? Or how -- what's the traction here on these newer offerings you have?
G. Robert Ayd: Don't take this literally, but I would -- I think it's probably closer to 10%.
Wilson S. Jaeggli - Southwell Management, L.P.: Around 10%. Okay, interesting. So I mean, the new categories are obviously very meaningful?
G. Robert Ayd: They are as are reorders.
Wilson S. Jaeggli - Southwell Management, L.P.: Okay. And I don't know if you mentioned it on the call, I may have missed it. The average selling price this quarter?
G. Robert Ayd: The average selling price came down about $2 to, I think, $93.
Keith R. Stewart: Thank you, everyone else, for joining us on the call today. With that, we'll conclude the call.